Operator: Greetings, and welcome to the D.R. Horton, America's Builder, the largest builder in the United States, fourth quarter and fiscal year-end 2015 conference call. At this time, all participants are in listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jessica Hansen, Vice President of Investor Relations for D.R. Horton. Please go ahead, Jessica.
Jessica Hansen - Vice President of Communications: Thank you, Kevin, and good morning. Welcome to our call to discuss our fourth quarter and fiscal 2015 financial results. Before we get started, today's call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although D.R. Horton believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call, and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that can lead to material changes in performance is contained in D.R. Horton's Annual Report on Form 10-K and our most recent Quarterly Report on Form 10-Q, both of which are filed with the Securities and Exchange Commission. For your convenience, this morning's earnings release can be found on our website at investor.drhorton.com, and we plan to file our 10-K next week. After the conclusion of the call, we will post updated supplementary historical data on the Presentations section of our Investor Relations site for your reference. The supplementary information includes historical data on gross margins, changes in active selling communities, product mix, and our mortgage operations. Now I will turn the call over to David Auld, our President and CEO.
David V. Auld - President & Chief Executive Officer: Thank you, Jessica, and good morning. In addition to Jessica, I'm pleased to be joined on this call by Mike Murray, our Executive Vice President and Chief Operating Office; and Bill Wheat, our Executive Vice President and Chief Financial Officer. Our D.R. Horton team finished this year with an outstanding fourth quarter. Pre-tax income increased to $339 million on $3.2 billion of revenue. And our fourth quarter pre-tax operating margin improved 60 basis points to 10.7%. Our sales absorptions continued to improve during this quarter as homes sold increased 19% on a relatively flat community count. This reflects solid performance of our core D.R. Horton communities and our Emerald Homes and Express Homes brands, which are enabling us to expand our product offering and industry-leading market share. For the year, while demand for new homes across most of our markets remained relatively stable to moderately improved, we generated growth of 30% or greater in both our home sales revenues and home building pre-tax income by successfully leveraging our platform as the nation's largest and most geographically diverse homebuilder. Our consolidated pre-tax income for 2015 increased 38% to $1.1 billion on $10.8 billion of revenue and 36,648 homes closed. Our continued strategic focus is to produce double-digit annual growth in both our revenue and pre-tax profits while generating positive cash flows and increasing our returns. During the fourth quarter, we generated $512 million of cash from operations, bringing our total cash generated by operations for the year to $700 million. Our return on inventory, defined as homebuilding pre-tax income divided by average inventory, improved 170 basis points in 2015 to 12.8%. With a sales backlog of 10,662 homes at the end of September; solid sales trends in October; and a well-stocked supply of land, lots, and homes, we are well-positioned for 2016. Mike?
Michael J. Murray - Chief Operating Officer & Executive Vice President: Net income for the fourth quarter increased to 44% to $239 million or $0.64 per diluted share, compared to $166 million or $0.45 per diluted share in the year-ago quarter. Our consolidated pre-tax income increased 35% to $339 million in the fourth quarter, compared to $251 million in the year-ago quarter, and homebuilding pre-tax income increased 27% to $302 million, compared to $237 million in the prior-year quarter. Our fourth quarter home sales revenues increased 27% to $3.1 billion on 10,576 homes closed, up from $2.4 billion on 8,612 homes closed in the year-ago quarter. Our average closing price for the quarter was $288,600, up 3% compared to the prior year due to an increase in our average sales price per square foot. Bill?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: The value of our net sales orders in the fourth quarter increased 22% from the year-ago quarter to $2.5 billion, and homes sold increased 19% to 8,477 homes, while our community count remained relatively flat. Our average sales price on net sales orders in the fourth quarter increased 3% to $289,500. The cancellation rate for the quarter was 27%, down from 28% in the year-ago quarter. The value of our backlog increase 10% from a year ago to $3.1 billion, with an average sales price per home of $295,100, and homes in backlog increased 8% to 10,662 homes. Our backlog conversion rate for the fourth quarter was 83%, within the range we guided to on our third quarter call. Jessica?
Jessica Hansen - Vice President of Communications: We are experiencing solid demand, revenue growth, and profitability in our D.R. Horton-branded communities, which accounted for the substantial majority of our sales and closings this quarter. Emerald Homes, our brand for higher-end, move-up, and luxury communities, is available in 46 markets across 18 states. In the fourth quarter, homes priced greater than $500,000 accounted for 17% of our home sales revenue and 7% of our homes closed. For the year, homes priced greater than $500,000 accounted for 16% of our home sales revenue and 7% of our homes closed. Our Express Homes brand, targeted at the true entry-level buyer focused primarily on affordability, is being offered in 48 markets in 15 states, with the significant majority of our Express sales and closings to date coming from Texas, Florida, and the Carolinas. This quarter, Express accounted for 22% of our homes sold, 21% of homes closed, and 14% of home sales revenue. The average closing price of an Express home in the fourth quarter was $191,000. For the year, Express accounted for 18% of our homes sold, 15% of homes closed, and 10% of home sales revenue. We're striving to be the leading builder in each of our operating markets with all of our brands. And we plan to maintain consistent, broad product diversity over the long term. Mike?
Michael J. Murray - Chief Operating Officer & Executive Vice President: Our gross profit margin on home sales revenue in the fourth quarter was 19.9%, flat with the third quarter. The consistency in our gross margin this year reflects the stability of most of our markets today and the normalization of housing market conditions. We are raising prices or reducing incentives when possible in communities where we are achieving our targeted absorptions. And we're also working to control cost increases. All of these factors have enabled our gross margins to stabilize within our normal historical range. Our general expectation for fiscal 2016 is that gross margins will remain relatively stable with fiscal 2015 levels. In the current housing environment, we continue to expect our average home sales gross margin to generally be around 20%, with quarterly fluctuations that may range from 19% to 21%, due to product and geographic mix and the relative impact of warranty and interest cost. As a reminder, our reported gross margins include all of our interest cost. For the first quarter of fiscal 2016, we expect our home sales gross margin will be in the high 19%s to 20%, consistent with our margins during fiscal 2015, which were in the high 19%s the entire year. Bill?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: In the fourth quarter, SG&A expense as a percentage of homebuilding revenues improved 100 basis points to 8.9%, compared to 9.9% in the prior-year quarter. Homebuilding SG&A for the full fiscal year also improved 100 basis points to 9.6%, compared to 10.6% in fiscal 2014, as our increased revenues this year improved the leverage of our fixed overhead costs. We are pleased that our homebuilding SG&A in fiscal 2015 was 40 basis points below our long-standing target of 10%, and we expect further improvement in our SG&A leverage for fiscal 2016. Jessica?
Jessica Hansen - Vice President of Communications: Financial services pre-tax income in the fourth quarter increased to $37.3 million from $14.2 million in the year-ago quarter. And for the year, financial services pre-tax income increased to $105.1 million from $45.4 million in fiscal 2014. Increases in our financial services profits for the fourth quarter and fiscal year were primarily due to improved loan sale execution, higher average loan amounts, and leverage of fixed overhead costs. 89% of our mortgage company's loan originations during the fourth quarter related to homes closed by our homebuilding operations, and our mortgage company handled the financing for 52% of our home buyers. FHA and VA loans accounted for 50% of the mortgage company's volume, compared to 42% in the year-ago quarter. Borrowers originating loans with our mortgage company this quarter had an average FICO score of 715, and an average loan-to-value ratio of 89%. Bill?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: At the end of September, we had 19,800 homes in inventory, of which 1,600 were models. 9,700 of our total homes were spec homes, with 6,300 in various stages of construction and 3,400 completed. Our construction in progress and finished homes inventory decreased by $314 million during the quarter, and our number of homes in inventory decreased by 7%, a normal seasonal trend after our strongest home closings quarter of the year. Our completed specs decreased by 6% during the quarter. Our fourth quarter investments in lots, land, and development totaled $590 million, of which $305 million was to replenish finished lots and land and $285 million was for land development. Our residential land and lot inventory increased by $54.5 million during the quarter. David?
David V. Auld - President & Chief Executive Officer: At September 30, 2015, our portfolio consisted of 174,000 lots, of which 118,000 are owned and 56,000 are controlled through option contracts. 67,000 of our total lots controlled are finished with – of which 33,000 are owned and 34,000 are optioned. Our 174,000 total lots owned and controlled provide us a strong competitive advantage in the current housing market with a sufficient lot supply to support solid growth in sales and closings in future periods. In 2016, we expect our total owned land and lot inventory balance to be in line with or slightly higher than 2015. And we also plan to increase our optioned land and lot position. In 2015, we invested $2.2 billion in land, lots and development. And in 2016, we expect that our investment level will increase by more than 20%. Mike?
Michael J. Murray - Chief Operating Officer & Executive Vice President: Our inactive land held for development of $202 million at the end of the year represents 11,100 lots, down 13% from June and down 21% from a year ago. We continue to work through each of our remaining inactive land parcels to improve cash flows and returns, and we expect that our land held for development will continue to decline. During the fourth quarter, we recorded $5.1 million in land option charges for write-offs of earnest money deposits and due diligence costs for projects that we do not intend to pursue. We also recorded $21.2 million of inventory impairment charges, of which $12.2 million were in our East region, and $9 million were in our West region. These charges related to two long-held inactive land parcels that we sold during the quarter and one long-held project in production. Each of these actions resulted in improved returns and redeployment of capital into more productive assets. We will continue to evaluate our inventories for potential impairment, which may result in future impairment charges, but the timing and magnitude of these charges will fluctuate, as they have in the past. Also, during the fourth quarter, we recorded a goodwill impairment charge of $9.8 million related to one of our operating divisions in our Southeast region. Our total goodwill balance after this impairment is $87.2 million. Bill?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: At September 30, our home building liquidity included $1.4 billion of unrestricted homebuilding cash and $865 million available capacity on our revolving credit facility. We had no cash borrowings and $110 million of letters of credit outstanding on the revolver. Our gross homebuilding leverage was 36.1%, and our homebuilding leverage ratio net of cash was 25.1%. The balance of our public notes outstanding at September 30 was $3.3 billion. And we have a total of $543 million of senior note maturities in fiscal 2016. At September 30, our shareholder's equity balance was $5.9 billion, and book value per share was $16, up 14% from a year ago. Based on our solid balance sheet, liquidity, and current and expected levels of profitability and cash flow, our board of directors increased our quarterly cash dividend by 28% from the most recent dividend paid to $0.08 per share. Jessica?
Jessica Hansen - Vice President of Communications: Looking forward, we would like to highlight some of our expectations for next year. They are consistent with what we shared on our call in July and are based on the current relatively stable to moderately improved market conditions. In fiscal 2016, we still expect to generate a consolidated pre-tax margin of 10.5% to 11%. We also expect to generate consolidated revenues of between $12 billion and $12.5 billion and to close between 39,500 and 41,500 homes. We anticipate our home sales gross margin for the full year of fiscal 2016 will be in the high 19%s to 20%, with potential quarterly fluctuations that may range from 19% to 21%. We estimate that our annual homebuilding SG&A expense will be in the range of 9.2% to 9.4% of homebuilding revenues, with the first two quarters of the year higher than this range and the third and fourth quarters below the range. We expect our annual financial services operating margin to range from 30% to 33%. We are forecasting our fiscal 2016 income tax rate to be between 35.5% and 36%, and our diluted share count to be approximately 375 million shares. We also continue to expect to generate $300 million to $500 million of positive cash flow from operations. Our fiscal 2016 results will be significantly impacted by the spring selling season, and we will update our expectations each quarter as our visibility to the spring and the full year becomes clearer. For the first fiscal quarter of 2016, we expect that our number of homes closed will approximate a beginning backlog conversion rate in a range of 75% to 78%. We anticipate our first quarter home sales gross margin will be in the high 19%s to 20%, and we expect our homebuilding SG&A in the first quarter to be in the range of 10.5% to 10.9% of revenues. David?
David V. Auld - President & Chief Executive Officer: In closing, 2015 was our third consecutive year to generate 30% or greater increases in both home sales revenues and homebuilding pre-tax income. While significantly growing the business, we also generated $700 million of positive cash flow from operations. And our annual return on inventory improved 170 basis points to 12.8%. This is a result of the strength of our people and our operating platform, and we are excited about the opportunities ahead. We remain focused on growing both our revenue and pre-tax profits at a double-digit annual pace while continuing to generate positive cash flows and improved returns. We are well-positioned to do so with our solid balance sheet; industry-leading market share; broad geographic footprint; diversified product offering across our D.R. Horton, Emerald, and Express brands; attractive finished lot and land position; and, most importantly, our outstanding team across the country. We'd like to thank all of our employees for their great work and tremendous accomplishments this year, and we look forward to working together to continue growing and improving our operations in 2016. This concludes our prepared remarks. We will now host questions.
Operator: Thank you. We'll now be conducting a question and answer session. Our first question today is coming from Bob Wetenhall from RBC Capital Markets. Please proceed with your question. Mr. Wetenhall, your line is now live. Perhaps your phone is on mute. Please pick up your handset.
Collin A. Verron - RBC Capital Markets LLC: Sorry. This is Collin filling in for Bob. Thank you for taking my questions. So prices were up by about 3.4% on a consolidated basis. I was wondering if you could give us a little bit more color on what prices were doing on a brand basis and how much of a headwind the change in the product mix was.
Michael J. Murray - Chief Operating Officer & Executive Vice President: In general, across the board, community-by-community is where we're seeing pricing. On a brand basis, mix is a big factor. On our Express brand, as we've been rolling it out into more markets, the more recent markets we've rolled it into are at a higher ASP. So we have seen an increase in our average ASP in Express, as we've expected to see. On the Emerald brand, again as we're rolling that out across the country, we've seen that have a fair amount of fluctuations from quarter to quarter. But in the current quarter we're in the mid-$500,000 range.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Collin, this will be in the supplemental information we'll put out after the call, but our closing ASP for the quarter on a sequential basis was up across all brands. It was mix that brought the overall down sequentially slightly. And on a year-over-year basis, we were essentially flat in Emerald but up substantially in Express and Horton.
Collin A. Verron - RBC Capital Markets LLC: Great. Thank you. And then as you look forward into 2016, how do you see your portfolio on a brand-by-brand basis kind of as a percentage of total deliveries? And what are your expectations on gross margin for this?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: We continue to expect both Express and Emerald to grow as a percentage of the business, as they did this year. As we roll them out into further markets, we would expect by the end of fiscal 2016 that we would have Express into most of the markets that we expect it to be in. And in terms of percentage of revenues, certainly could be nearing the 20% level. And Emerald, in terms of percentage of revenues, would start moving up – further up into the higher single digits.
Collin A. Verron - RBC Capital Markets LLC: Great. Thank you very much.
Operator: Thank you. Our next question today is coming from Stephen Kim from Barclays. Please proceed with your question.
Stephen S. Kim - Barclays Capital, Inc.: Hey, guys. Strong quarter. Good job in the quarter.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Thank you.
Stephen S. Kim - Barclays Capital, Inc.: Yeah. Had two questions for you. First of all, it seemed like your cash flow guide was a little low and your cash balance at the end of the year was a little high. By my reckoning, even if your land spend were to increase 25% – I think you said more than 20% is what you thought – your cash flow could still be pretty similar to what we saw in 2015, if my numbers are right. And I think you got about $550 million or something that we're looking for in debt paydown next year, which is going to leave your cash balance pretty elevated. So I was curious, first of all, if you could talk about why your cash guidance is sort of so much lower than what you did this year. And then, secondly, sort of where you feel comfortable with your cash balance residing?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: As we look forward – Steve, this is Bill – a lot of the level in which we will reinvest or the level in which we will invest depends on what we see in the sales environment in the spring this next year. So at this point, as we look forward, we feel comfortable that a $300 million to $500 million range will occur even with a reinvestment level north of 20%.
Stephen S. Kim - Barclays Capital, Inc.: Yeah.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: It's possible we might invest even higher than that if we see sufficient strength in the market or the need. But if we stay at around that 20% level, yes, your calculations are in the ballpark that we could be at the higher end or maybe even above that range on cash flow. But we're certainly in a flexible position, and we'll adjust our investment decisions based on what we see in the market as we get into calendar 2016.
Stephen S. Kim - Barclays Capital, Inc.: Okay. Great. So my next question relates to M&A. We did an analysis, and it looked like over the last 15 years, that Horton's pretty much – you guys are the only ones that have really grown your business outside of acquisitions or at least grown your market share outside of acquisitions. And, at the same time, there's a pretty wide gap in price-to-book valuations among the public builders. And my question is, what's your opinion on the M&A opportunity that you see over the next year? And is there any reason you might prefer privates or publics when you look at the opportunity set?
David V. Auld - President & Chief Executive Officer: Steve, this is David. We're continuing to look at opportunities. We're in the position we're in because we've been disciplined about it and trying to find the right cultural fit when we do combine. If you look at our history of merger and acquisitions, the culture and fit has typically been more important than the assets that we're acquiring. So we're going to be disciplined and opportunistic. But, yes, we are looking continuously and believe that where we find a good fit at the right price, it's an additive to our company.
Stephen S. Kim - Barclays Capital, Inc.: Got it. Thanks very much, guys. Good job.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Thank you.
Jessica Hansen - Vice President of Communications: Thank you, Steve.
David V. Auld - President & Chief Executive Officer: Thank you, Steve.
Operator: Thank you. Our next question is coming from Stephen East from Evercore ISI. Please proceed with your question.
Stephen F. East - Evercore ISI: Thank you, and congratulations on a nice quarter. Just to follow on Steve's question a little bit. You will have a lot of cash sitting on the balance sheet, Bill, even in your scenario and paying down the debt. So if you could talk a little bit about, with that excess cash, what you would like to do with it, and a bit more generally your capital allocation for 2016. You gave the land spend guidance. But where is it happening, and what percentage of these communities are 24 months or less? Is that still a big focus for you? And just where you expect that community growth to be next year?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Sure.
Stephen F. East - Evercore ISI: The level of community growth.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Sure. Steve, this is Bill. I'll start at the back end. We are still working with our 24-month cash return as our base underwriting guidelines. And vast majority of the land we're buying will fit within that. We're certainly in a flexible position, and occasionally strategically we might go outside that box. But vast majority of the time we're staying within 24-month cash return. In terms of community count growth, we've stated we expect it to be relatively flat to slightly up. Low to mid-single digits would be probably the top end of the growth expectations. Really, we're looking across our business. We've seen significant increases in the Southeast over the last couple of years, but we're seeing a few markets perhaps starting to show some signs of life further north, and in the Southwest as well, that perhaps we could – it may be time to show some growth there. So really looking across the breadth of our business. As we look at our cash flow expectations for the year, of course, we did announce an increase in our dividend, a 28% increase in that, so that's already out there as far as the use of our cash. We are going to remain flexible and opportunistic around investments in the business. Great position to be in with $1.3 billion, $1.4 billion of cash today heading into the spring. And then we want to see what the spring demand is and decide our level of reinvestment in the business there, but still feel comfortable with that and still be able to generate $300 million to $500 million of free cash flow next year. The debt maturities of $543 million are certainly a priority for us. Again, flexible position. We certainly have the cash to be able to pay it all in cash if we were to so choose. Our current expectations is that we would refinance a portion of that and pay off a portion of that in cash, so that our net balance would decrease a bit. Past that, really, our mantra is remain opportunistic while remaining disciplined. And all things could be on the table, but we want to keep our options open.
Stephen F. East - Evercore ISI: Okay. Thanks. Very thorough there. And then if you look at what all the other builders have been talking about, the labor, the costs, et cetera, maybe you all could frame how much costs are up year over year, both labor and on the land side. And then just what you're seeing on the labor side. Some of your peers have said they expect it to get a lot worse before it gets better, and what you all are seeing and how you're going to offset it moving forward.
Jessica Hansen - Vice President of Communications: Stephen, this is the first quarter that we did see, on a year-over-year basis, our revenues tick up in – per square foot – in excess of our stick-and-brick costs, which would be both our labor and materials. Our revenues per square foot were up about 4%, whereas our stick-and-brick per square foot was up 3.5%. The sequential trend was good as well. Our revenues outpaced our stick-and-brick. You didn't see that flow through as an increase to our margin because we do have slightly higher land costs today. But, as we mentioned, our margin's stable in spite of higher land, labor, and material costs, and we were able to offset the majority of that with pricing this quarter. So we've been working on that this entire year to get that back in check, and happy to say that we got there by the end of the year. In terms of labor, I mean, David will probably speak to how we feel about labor overall.
David V. Auld - President & Chief Executive Officer: Stephen, David. No question; labor is tight. The reports coming out of other builders – I mean, we're not immune to it. I think we have mitigated it by having the best operating team in the industry. And the relationships that our people have with vendors, suppliers put us at the front of the line. So it flows back to the time with a company, time in a market.
Stephen F. East - Evercore ISI: Okay.
David V. Auld - President & Chief Executive Officer: And what I believe is the number one competitive advantage, which is our people.
Stephen F. East - Evercore ISI: David, do you expect it to get worse in 2016?
David V. Auld - President & Chief Executive Officer: I don't think it's going to get any better.
Stephen F. East - Evercore ISI: Okay.
David V. Auld - President & Chief Executive Officer: I do think we're approaching – the market continues to improve. The latest jobs report did show 30,000-plus construction jobs being added. Why it's taken this long to start adding those jobs I'm not sure, but hopefully that's a trend of something that's going to take place. And we will re-staff our production so that we get back to a normal national building environment.
Stephen F. East - Evercore ISI: All right. Thank you.
David V. Auld - President & Chief Executive Officer: Yes, sir.
Operator: Thank you. Our next question today is coming from Mike Dahl from Credit Suisse. Please proceed with your questions.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks for taking my questions. Wanted to go back to some of the market discussion, and I think, Bill, you mentioned there may be some areas that are showing some signs of life and maybe deserve some more investment. So I guess if you guys could give us a little more color on where some of those markets are and just the overall cadence that you're seeing in some of the key markets in your footprint, because you've described it as relatively stable to slightly improving. I think some of your peers have seen a bit more volatility as of late. So any color there? And also if you could quantify October sales being solid, what's that actually mean relative to what we were seeing this quarter?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Mike, going backwards, October sales were – we're happy with our October sales level in line with our expectations, but as we always said, one month does not quarter make. And looking at individual markets, we've been very happy with our Texas performance, which is our South Central external region, primarily. Continue to see good performance in the Southeastern part of the country. And as (31:14) in the communities we invested in there, we've built a great presence. And perhaps some of the markets out west in Arizona are starting to show some encouraging signs as well. But it's hard to really quantify market by market when we look at this.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Got it. Okay. And then second question, just around the goodwill impairment. So in the Southeast, just curious, is that related to a legacy position, or is that one of the more recent acquisitions? Can you talk about the factors that drove that and if there are any other implications we should be thinking about on a go-forward basis, whether it's what that means for margins or sales out of that region?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: That related to one division within our Southeast region. That was the Huntsville market that we entered as a result of the Breland acquisition in 2012, and that was as a result of some challenging market conditions in Huntsville. And I don't look for any read-through to any other markets or margin effect anywhere else.
Jessica Hansen - Vice President of Communications: And Huntsville is a relatively small division in terms of our overall platform.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Right. Okay. Thank you.
Operator: Thank you. Our next question today is coming from Ken Zener from KeyBanc. Please proceed with your questions.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Good morning, everybody.
David V. Auld - President & Chief Executive Officer: Good morning, Ken.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Morning, Ken.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: So, David, kind of wrapping up this year, and I wonder if you could comment. I mean, obviously, under your tenure, you kind of just started disclosing information a little differently than Don did in the past. The question I have for you is about seasonality in your business, because you guys, with the release that you give after this conference call, we can see kind of the trailing-three-year seasonality in orders. And when you look at your year-over-year results, what it shows is increasing absorption. But that actually occurred all in the first quarter seasonally. You didn't go down like you normally did. Can you talk to or kind of address if, when you think about the cadence of your business, which I assume you look at it seasonally, do you still expect that kind of slightly higher absorption rate, which is new the last few years, to unfold in kind of that first quarter? Or do you expect it to go down like it did historically, about 20%? Because it seems like you guys kind of changed the cadence of the business a little bit in recent years.
Jessica Hansen - Vice President of Communications: Yeah. We would still expect to see normal seasonality in the business, which would infer a decline in Q1. Sales – we don't guide to sales for a reason. It's really hard for us to estimate what our sales are going to be. We did give guidance for the full year on closings. So clearly we have to sell at least that many homes, if not more. So we do feel like we're going to close between 39,500 homes and 41,500 homes for the full year. But, as you saw in Q4, and as we've talked about, we're not going to be at a 30% growth rate moving forward. We did that for three years straight, and – going to be hard to do that again. But we do think our consolidated revenues will be up 10% to 15%. And Q1's typically our softest quarter, and we do expect to see normal seasonality in Q1 and really not know what the year holds until we get to the spring.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Okay.
David V. Auld - President & Chief Executive Officer: And, Ken, this is David. I'll also say that weather did impact kind of the process last year. And we had a great year because we have great people. But tight labor and weather conditions are a reality in this industry. So that kind of made some things shift around a little bit. But, yes, we're a seasonal business. We plan to build, sell, and close based upon what the historical seasons have been.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Good. And I appreciate that. I just was asking because the last two years in the first quarter, your pace actually went up modestly. So I just wanted to understand how you thought about that. But it sounds like it's somewhere between what we had in the last few years and the usually down 18% sequential pace, somewhere in that broad range. Can you talk – David, you said you don't expect labor to get better, but I mean you are, I believe, the largest homebuilder. And it would seem that that issue would impact you most. But closings, et cetera, et cetera, you've been able to navigate it. I mean, is it that you're paying people more, perhaps? Because it really – all the smaller builders' issues would seem to be magnified. Can you just explore that a little bit more, because it really does seem to require a little more explanation how the largest person is navigating this issue while the smaller guys can't do it?
David V. Auld - President & Chief Executive Officer: I don't think we're paying people more. Actually, I think we got a lot of efficiencies and benefit from our overall market share and presence. You guys are going to get tired of me saying this, but it really is the people. We got the – one of the toughest markets, toughest weather conditions, toughest labor markets, is our Dallas-Fort Worth area. And those two guys, because they have been in the market for 20-plus years, because they have a direct relationship with the vendors and suppliers, make a call and get people to show up. And you just can't put a – you can't quantify that and put it into a model.
Jessica Hansen - Vice President of Communications: And they're both also perfect examples of where local market share and building specs on a consistent basis really comes into play. So that, coupled with their experience is really why we think we've been able to not have that show up as much in our results as it has in others'.
David V. Auld - President & Chief Executive Officer: But it's not just Dallas-Fort Worth. We've got people like that in every market. So.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Okay. And could you just comment on the gross margin between spec and backlog, if that's relevant now? Thank you very much.
David V. Auld - President & Chief Executive Officer: Thank you.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: A word about our normal relationship between spec and overall. Spec margins are a bit below – 100, 200 basis points below the company average, which is about normal.
Michael J. Murray - Chief Operating Officer & Executive Vice President: They were about 200 basis points below build jobs.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Below build jobs, yeah.
Michael J. Murray - Chief Operating Officer & Executive Vice President: Yeah.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: So the company average is slightly...
Michael J. Murray - Chief Operating Officer & Executive Vice President: Much closer, probably about that.
Jessica Hansen - Vice President of Communications: Yeah. We feel about 70% of what we closed this quarter was a spec. So the margin we reported is essentially a spec margin.
Kenneth R. Zener - KeyBanc Capital Markets, Inc.: Thank you very much.
David V. Auld - President & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question today is coming from Michael Rehaut from JPMorgan. Please proceed with your questions.
Michael J. Rehaut - JPMorgan Securities LLC: Thanks. Good morning, everyone, and also nice quarter.
David V. Auld - President & Chief Executive Officer: Thank you, Michael.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Good morning. Thank you.
Jessica Hansen - Vice President of Communications: Thanks, Mike.
Michael J. Rehaut - JPMorgan Securities LLC: First question I just had was on guidance, and just wanted to make sure – it appeared that essentially you reiterated all the components of fiscal 2016 guidance with perhaps the exception of giving a little more clarity to SG&A. Before, I think you said below 9.5% of consolidated revenue, and now you're saying 9.2% to 9.5%. Do I have that right?
Jessica Hansen - Vice President of Communications: Mike, we actually on our last call only gave the consolidated pre-tax margin as official guidance. We had some sidebars as we got into the Q&A. But our official guidance in July was just for the 10.5% to 11.5% consolidated pre-tax margins, so we did reiterate that on this call. And then our SG&A guidance for fiscal 2016, which is – this the first time we're giving what we would consider to be our official SG&A guidance – is for 9.2% to 9.4% of homebuilding revenues.
Michael J. Rehaut - JPMorgan Securities LLC: Right. And then – I appreciate that. I think that sounds right. Yeah, some of that was on the Q&A, I guess. And just to be clear also on the SG&A. You're talking about the homebuilding revenue inclusive of land sales. Is that right? And that's also how you're describing it for 1Q? Is there a way for us to get a sense of what you're anticipating land sales to be?
Jessica Hansen - Vice President of Communications: No. As you indicated to me earlier today, our land sales are choppy, and we do know that. But when we look at our SG&A, we look at it all in, as a percentage of our total homebuilding revenues. And that lines up with our income statement, with – "total homebuilding revenues" is actually our line, but is inclusive of both home sales revenue and land sales revenue.
Michael J. Rehaut - JPMorgan Securities LLC: Okay. Yeah. Just – obviously creates a slight incremental challenge with modeling, but I guess we can talk about that later. Also, on the fiscal 2016 outlook, I think, Bill, you mentioned expecting community count to be up low to at most mid-single. I would presume, given that it looks like, at least from a trend perspective, Express 4Q activity stronger than the full fiscal year, that that would – that the fiscal 2016 should have a higher proportion of Express versus 2015. Would that then result in sales pace improvement of at least 5% to 10%, just from that continued shift alone?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Yes. Obviously with our guidance of 10% to 15% revenue growth with low to mid-single digit community count, where we are anticipating incremental absorption improvement, and part of that – one driver of that – is the continued rollout of Express. As it has been this year, as a contributor to some absorption improvement, we do expect further absorption improvement driven by Express, as well as our efforts to continue to be more efficient across all of our brands across all of our communities in the company.
Michael J. Rehaut - JPMorgan Securities LLC: Great. And then just one last one if I could. The land investment north of 20%, obviously a pretty strong number, and certainly we're not at mid-cycle levels yet. Although I would think that at this point, at least from your peers, maybe not growing that incremental investment as aggressively, not all have reported that yet. But when you talked about the 20%-plus growth, is that reflective of more development versus finished lot type of takedowns, or just from a bigger-picture perspective, you're also talking about lots growing, I would assume, not at the same rate as the 20%-plus. So just kind of give us a sense of what's the drivers there, because obviously there are other builders out there that are maybe taking a slightly – I would presume – slightly more conservative view as you get deeper into the cycle.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Right. Mike, yes, there is a distinguishment we need to make between the level of investment we're going to make versus the level of our inventory balance – our land inventory balance on our balance sheet. We do expect to grow our spending, our investments, by more than 20%. We do expect some increase in our development spend in that expectation and then some increase in our absolute spending for land acquisition. Our percentage of our land acquisition spend has been pretty consistent, and around half of that spend has been for finished lots. And we would expect that to continue, especially as we increase our option lot position and continue to add to that and buy finished lots there. So there's still a very strong element of finished-lot purchases in that. But even with an increase in our spending or investment level of greater than 20%, we only expect our balance sheet – our land inventory balance to be relatively stable to slightly grow. So what we're essentially doing is replenishing our lot position, and that's kind of what we've been doing for the last year to two years, is essentially replenishing our owned lot position, but to do that at an increased closing level requires an increase in investment.
Michael J. Rehaut - JPMorgan Securities LLC: Perfect. That's very helpful. Appreciate it, guys.
Operator: Thank you. Our next question today is coming from Nishu Sood from Deutsche Bank. Please proceed with your question.
Nishu Sood - Deutsche Bank Securities, Inc.: Thanks. I wanted to ask about the backlog conversion ratio, which you guided for, for the first quarter. I think you said 72% to 74%, kind of low to mid-70%s.
Jessica Hansen - Vice President of Communications: Nishu – Nishu, hang on a second. We guided to 75% to 78%.
Nishu Sood - Deutsche Bank Securities, Inc.: Okay, okay. Sorry. Sorry, 75% -
Jessica Hansen - Vice President of Communications: I just wanted to make sure everybody got that and didn't write down your 72% to 74%.
Nishu Sood - Deutsche Bank Securities, Inc.: Sure, sure. No, no, appreciate that. You folks have had eight quarters in a row of your backlog turnover ratio being higher on a year-over-year basis. I mean, that's a terrific achievement in light of the pressure that the industry has been facing and obviously have been discussed here in the Q&A already. This would be the first quarter where you would be down on a year-over-year basis. So I just wanted to understand that a little bit better. Is this just a reflection of the issues that you were discussing, the delivery and the labor challenges? Are you changing in terms of the sort of units that you're building – less specs, maybe? Just wanted to understand the drivers of it being lower year over year.
Michael J. Murray - Chief Operating Officer & Executive Vice President: Yeah. Nishu, I think you hit on it. We did touch on some of the factors that are affecting us. There was – it rained in a lot of places. Not making any excuses for that, but we still looking for next year, the full year, to revenues to be up 10% to 15%. And we're going to see our first quarter conversion rate, we believe, to be a little lower than it was last year.
David V. Auld - President & Chief Executive Officer: I think there were 24 inches in -
Nishu Sood - Deutsche Bank Securities, Inc.: Got it.
David V. Auld - President & Chief Executive Officer: – 24 inches in our major markets in Texas in May. And so we lost about two months of starts, and that's – we were able to drive the conversion at the end of the year because those houses were started. But it – right now, today, if we had more houses, we'd be at a higher conversion rate.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: First quarter was our lowest quarter (46:09)
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. So then it's more temporary issues as opposed to changes to operating procedures, such – let's say building less specs or (46:20)
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Absolutely.
David V. Auld - President & Chief Executive Officer: Our primary goal is to continue to improve the efficiency metrics of this industry and of our company. And conversion rate is a major goal for us.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it.
David V. Auld - President & Chief Executive Officer: Which is why it was improved eight quarters in a row.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. Okay. Appreciate that. And then the second question – and, Jessica, I won't say the number because I'll probably get it wrong again – but (46:46) I think you guided to in the low 30%s on a margin basis. A lot of folks expected at the beginning of this year the margins in that business, being very high for them, to converge back to normal. From your 4Q, which was very strong, it certainly doesn't look like that's the case. But – so what are you thinking about when you guide to the financial services margins being down year over year? It doesn't seem like any of the momentum has been lost there. Is that just a view that, look, longer term this doesn't look to be sustainable? Are you seeing anything in your business now which led to the low-30%s expectation? And, yeah – so what are your thoughts behind that?
Jessica Hansen - Vice President of Communications: Sure. A couple of things, Nishu. Our financial services team has done an outstanding job the last couple of years – well, and really longer than that – but the last few years they've seen outsized operating margins as what we would've expected from them historically. They continue to have just better loan sale execution and higher loan amounts this year, which helped them leverage their SG&A better. But we also had a slightly unusual item this year in terms of a $10 million reduction in our loan loss reserve. We were actually successful in some negotiations with mortgage purchasers for amounts lower than we originally anticipated. So we did lower our reserve amount in Q4, and the full-year amount was $10 million. So that was a slight pickup to their margin this year, which we aren't expecting to repeat in 2016, coupled with – we just don't know if we're going to be able to sustain the higher operating margins that they've been running for the last two years. So they'll continue to operate as efficiently as they can and do as well as they can. And as we move throughout the year we'll update that guidance if that 30% to 33% doesn't look right.
Nishu Sood - Deutsche Bank Securities, Inc.: Okay. Thanks. Appreciate the thoughts.
Operator: Thank you. Our next question today is coming from Eric Bosshard from Cleveland Research. Please proceed with your question.
Eric Bosshard - Cleveland Research Co. LLC: Good morning.
David V. Auld - President & Chief Executive Officer: Good morning.
Eric Bosshard - Cleveland Research Co. LLC: Good morning. Two things. First of all, I think, Jessica, you pointed out that the revenues per foot ahead of the cost per foot, ex-land, for the first time in a while. I guess the two questions in that – what's changed within that, and is that sustainable? That's the first thing I wanted to ask.
Jessica Hansen - Vice President of Communications: We'll see if it's sustainable. We're guiding to essentially flat gross margins next year. So that would infer that we do expect labor to continue to be a challenge. But our goal next year is going to be to continue to keep those in line. If we're able to get more pricing and improve our margin as we move throughout the spring, we will. But where we sit today in November, we feel pretty comfortable that we can offset any labor and material and land increases with our sales prices.
Eric Bosshard - Cleveland Research Co. LLC: Now, the progress with sales price kind of moderated through the year, and I understand there's moving parts within mix. Is there a belief that with a better demand environment, there's more of an opportunity with price in 2016 than you experienced within 2015?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: In an improved demand environment, I would say yes. But where demand conditions are today, we feel comfortable at our absorptions and our community levels. And so we have a kind of a balance, if you will, an equilibrium, at the community level we're comfortable guiding to right now.
Jessica Hansen - Vice President of Communications: And then in terms of our overall ASP, obviously, as Express continues to become a bigger mix, we're not going to expect our ASP to continue to climb at the same rate, because we do have mix impact impacting that as well.
Eric Bosshard - Cleveland Research Co. LLC: Okay. And then the second question – I appreciate – you commented you want to wait to see the spring to determine some of the land spend and some of the overall spend, also talking about growing 20%. I guess from a bigger strategic picture at this point of the cycle, are you still trying to grow the overall inventory, or are you trying to match the spend to what you sell, or are you trying to spend a little less than what you sell? Where are you at this point of the cycle in terms of your investment relative to what you're selling through?
David V. Auld - President & Chief Executive Officer: I would say we still think that there's legs left in this cycle. I mean, we're not even close to what is a historical demand. So we're trying to be very judicious and value the capital we have. So I'd say some kind of balance. One quarter, it may look like we're – didn't buy enough. The next quarter it may look like we bought too much. But it's a balanced approach to drive efficiency throughout the entire company. We don't want too much land. We don't want too little land.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: I think, Eric, to follow-on what David said that we would expect that to be at a replenishment level to slightly higher. But all the while looking to be more efficient with our capital. More efficient with our inventory to drive a higher turn. A higher backlog conversion, a higher rollover of our assets to be better stewards of that capital. To drive the return on our invested inventory up.
Michael J. Murray - Chief Operating Officer & Executive Vice President: That's why one of our major goal is to substantially increase our option land position where we're at a balance today at 68% owned. Obviously, our long term, we'd love to be much closer to 50%/50% split there, and so to the extent that we can increase our option position much more efficient with our capital, lower risk as well, we'd like to do that. So it's still a goal.
Eric Bosshard - Cleveland Research Co. LLC: Okay. That's helpful. Thank you.
Operator: Thank you. Our next question today is coming from Susan Maklari from UBS. Please proceed with your question.
Susan M. Maklari - UBS Securities LLC: Good morning.
David V. Auld - President & Chief Executive Officer: Good morning.
Jessica Hansen - Vice President of Communications: Good morning, Sue.
Susan M. Maklari - UBS Securities LLC: You guys have talked a lot about how you have already expanded Express and sort of the future of that brand. And yet it sounds like the bulk of that business remains focused in Texas and the Carolinas and Florida. As you think about it moving further and getting into increasingly more markets, should we expect that the core will remain focused in those areas, or to what extent do you expect to diversify to these other markets?
David V. Auld - President & Chief Executive Officer: Well, we opened 24 new markets with Express in fiscal 2015. That puts us in 48 markets out of the 70-plus we operate in. So -
Michael J. Murray - Chief Operating Officer & Executive Vice President: Florida was a major entrance this year. And as we add to other markets, we're starting to add markets in the West now, that's adding to our presence. That starts to change the mix a bit, and we'll diversify a bit from where we are. But I think still our long-term expectation is really Texas across the Southeast including the Carolinas and Florida will still remain the core of Express, might even remain the majority of our overall volume. But we do continue to diversify as the rollout continues.
Susan M. Maklari - UBS Securities LLC: Okay. And then you saw very strong order trends in the Southeast. Was a lot of that driven by Express? Or can you talk a little bit about what you saw there?
Jessica Hansen - Vice President of Communications: A lot of it was driven by Express, Sue. We've opened a lot of new communities because of a lot of new investments all across the Southeast in all of our brands. So we saw a very nice pickup in our absorptions, coupled with an increase in our community count that really drove their order increase this quarter.
Michael J. Murray - Chief Operating Officer & Executive Vice President: But when we look at our home sales revenue on a year-over-year basis across all three of our brands, all three of our brands increased at a strong double-digit pace. Clearly, as we've expanded Express and Emerald, they've grown at a higher percentage as we rolled them out. But all three of our brands grew at a strong double-digit pace.
Susan M. Maklari - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Jack Micenko from SIG. Please proceed with your question.
Jack Micenko - Susquehanna Financial Group LLLP: Good morning. Wondered if you could put a little context around the absorptions? Obviously, you've seen a companywide improvement. But when I think about Express versus Horton versus Emerald, how should we think about community absorption per brand? Is it like 8-4-2? Is it 10-6? (55:27) Is there a way you can sort of, rule of thumb, give us some context on how to think about that, as a follow-up to the prior question given Express is driving such order growth and absorption improvement?
David V. Auld - President & Chief Executive Officer: It's less about brand than it is about return on investment and the pace of absorption to drive the highest return. It's a balance of margin, sales base, and deliveries. So that's something we look at project by project, market by market to maximize the return to the company and the shareholders.
Jack Micenko - Susquehanna Financial Group LLLP: Okay. Thanks.
David V. Auld - President & Chief Executive Officer: We have Horton projects doing significant absorption. And it really is all across the board.
Jack Micenko - Susquehanna Financial Group LLLP: Okay. So community by community, not brand by brand?
David V. Auld - President & Chief Executive Officer: Correct. Yes, sir.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Yep.
Jack Micenko - Susquehanna Financial Group LLLP: Okay. And then, just as a follow-up to some of the – it looks like you're going to probably delever further next year. You talk about a cash number that sounds conservative, potentially, next year, and then, you're increasing your option versus your owned to mix presumably as well. Saw the dividend raised this quarter. Where is the right leverage ratio? I know you've bought back stock in the past to offset some dilution. What do you think about buybacks? Just kind of where do you think the balance sheet and capital looks like sort of a year from now from a leverage ratio, and what else do you do with your cash?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: We do expect incremental improvement in our leverage, I think, as we move each year into the cycle, I think we think that's prudent, and a prudent management of our balance sheet. So what that gives us is a lot of flexibility. And it gives us the potential to be very opportunistic. So, to the extent that a great opportunity comes along, we've got of plenty of room on our balance sheet and plenty of liquidity to be able to take advantage of it. So, from our standpoint, that's really what we're trying to maintain: this flexibility and the ability to be opportunistic. I talked earlier in one of the responses to the previous question about our priorities for cash flow around we increased our dividend, we're going to continue to invest in the business, and we'll adjust that based on what we see next year. We do expect incremental reduction in our debt. And then past that, our mantra is opportunistic but disciplined. We certainly have done some limited share repurchases in the past. I would say that's not near the top of our list right now given the opportunities that we see to invest in our business and generate a strong return in our business.
David V. Auld - President & Chief Executive Officer: At this point in the cycle, we believe having flexibility and liquidity is a good thing and will give us an opportunity to take advantage of investments that – we'll be the only one bidding. So we like that environment.
Jack Micenko - Susquehanna Financial Group LLLP: Okay. You guided to 375 million on the share count next year. Is that the right number?
Jessica Hansen - Vice President of Communications: Yes.
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Yes.
Jack Micenko - Susquehanna Financial Group LLLP: Okay, great. Thank you.
Operator: Thank you. Our next question today is coming from Jade Rahmani from KBW. Please proceed with your question.
Ryan Tomasello - Keefe, Bruyette & Woods, Inc.: Hi. This is actually Ryan Tomasello on for Jade. Thanks for taking my questions. Just going back to the labor costs, I was wondering if you could provide a bit more color on what trades in particular that you have been seeing the most pressures in, and if these labor constraints have been more concentrated to certain markets than others.
David V. Auld - President & Chief Executive Officer: Hey, Ryan. It's David. It depends on the market – framing labor, Sheetrock labor, electricians, A/C. I mean, every major trade in certain markets have been stretched very, very tight. So – this is the last weather comment I'll make, that when you can't start a house for two months, concrete, labor, and material becomes very, very tight. So it's a market by market, trade by trade.
Ryan Tomasello - Keefe, Bruyette & Woods, Inc.: Great, thanks. And then just on the land market, you guided to the 20%-plus incremental spending. Can you just give a bit more color on the growth in the level of competition? We've heard certain peers saying that competition has been decreasing slightly. What markets are currently more attractive than others, and have the labor constraints caused you to change your underwriting on new land purchases? Thanks.
David V. Auld - President & Chief Executive Officer: The labor's not going to impact our – I mean, we're going to deal with labor, and we're better positioned to deal with it than anybody else. So that's an advantage to us. Where we're going to invest, where we're looking at, it changes quarter to quarter. And right now today, we have markets we're underinvested in and are working hard to drive – to get a level of investment there that allows us to grow at what we think the market will give us.
Ryan Tomasello - Keefe, Bruyette & Woods, Inc.: Great. Thanks.
Operator: Thank you. Our final question today is coming from Susan Berliner from JPMorgan. Please proceed with your question.
Susan A. Berliner - JPMorgan Securities LLC: Hi. Good morning.
David V. Auld - President & Chief Executive Officer: Good morning.
Jessica Hansen - Vice President of Communications: Good morning.
Susan A. Berliner - JPMorgan Securities LLC: Just one quick question, and, Jessica and Bill, you may laugh. But after reporting a quarter like this and seeing your ratios, can you update us with your conversations, at least, with S&P and Fitch with regards to an IG rating?
Bill W. Wheat - Chief Financial Officer & Executive Vice President: Certainly. We have active communications with them, in-person meetings with them as well. And certainly the progress that we're making in our business, the improvement we're showing in our liquidity and in our leverage, are all positive things that rating agencies love to see. From our standpoint, if we continue to improve and continue to show the progress and do what we've said we're going to do, we certainly believe that our metrics and the way we're operating our company are consistent with an investment-grade rating. The actual decision and timing of when that will be is certainly out of our hands. From our standpoint, though, the decision point or the goal of being investment grade isn't the end. What our goal is, is to be in position, and once it has been achieved, that it can be sustained over the long term through the cycles. And so, from our standpoint, when it happens doesn't really matter. It will happen, and it will be sustained.
Susan A. Berliner - JPMorgan Securities LLC: Great. Thank you very much.
Jessica Hansen - Vice President of Communications: Thanks, Sue.
Operator: Thank you. We have reached the end of our question and answer session. I'd like to turn the floor over to management for any further or closing comments.
David V. Auld - President & Chief Executive Officer: Thank you, Kevin. We appreciate everyone's time on the call today and look forward to speaking with you again in January to share our first quarter results. And to the D.R. Horton team listening in out there, congratulations on an outstanding year. You are the best in the industry. Thank you for what you do every day.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.